Operator: Hello and welcome to Martin Marietta's Third Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded and will be available for replay on the company's website. I would now turn the call over to your host, Ms. Jennifer Park, Martin Marietta's Vice President of Investor Relations. Jennifer, you may begin.
Jennifer Park: Good morning. It's my pleasure to welcome you to Martin Marietta's third quarter 2022 earnings call. Joining me today are Ward Nye, Chairman and Chief Executive Officer; and Jim Nickolas, Senior Vice President and Chief Financial Officer. Today's discussion may include forward-looking statements as defined by United States securities laws in connection with future events, future operating results or financial performance. Like other businesses, Martin Marietta is subject to risks and uncertainties that could cause actual results to differ materially. We undertake no obligation, except as legally required to publicly update or revise any forward-looking statements, whether resulting from new information, future developments or otherwise. Please refer to the legal disclaimers contained in today's earnings release and other public filings, which are available on both our own and the Securities and Exchange Commission's website. We have made available during this webcast and on the Investors section of our website, Q3 2022 supplemental information that summarizes our financial results and trends. As a reminder, all financial and operating results discussed today are for continuing operations. In addition, non-GAAP measures are defined and reconciled to the most directly comparable GAAP measure in the appendix to the supplemental information as well as our filings with the SEC and are also available on our website. Ward Nye will begin today’s earnings call with a discussion of our third quarter operating performance and portfolio optimization effort. Jim Nickolas will then review our financial results and capital allocation after which Ward will conclude with end market trends and our preliminary outlook for 2022. The question-and-answer session will follow please limit your Q&A participation to one question. I will now turn the call over to Ward.
Ward Nye: Thank you, Jenny. Good morning, everyone. And thank you for joining today's teleconference. I'm pleased to report that Martin Marietta delivered record results in the third quarter. This is despite current macroeconomic challenges that include persistent inflationary pressure across multiple cost categories, tighter monetary policies and heightened geopolitical tensions. Our quarterly performance is a testament to our team's commitment to commercial excellence, and execution of our strategic business plan. The results also reflect our successful implementation of double-digit pricing growth across all building materials product lines, that combined with acquisition contributions, drove record quarterly consolidated total revenues, gross profit, adjusted EBITDA, and adjusted earnings per diluted share. Importantly too, our year-to-date safety and health performance, inclusive of acquired operations remains at world class levels as measured by both total injury and lost time incident rates. While we acknowledge and celebrate our continuous safety and health improvement, our work in this vital dimension is never done. In addition, on August 9, we entered into a definitive agreement to sell our Tehachapi California cement plant and related distribution terminals to CalPortland Company for $350 million, subject to regulatory approval and customary closing conditions. This transaction aligns with our commitment to an aggregates-led business, complemented by strategic cement assets in certain markets, improves the durability of our business through cycles and provides balance sheet flexibility to continue driving shareholder value. Our capital allocation priorities remain focused on prudent investment and attractive acquisitions, organic growth initiatives and returning capital to shareholders for reducing net leverage to within the company's targeted range. As highlighted in today's release, we achieved a number of significant financial and operating records in the third quarter, including consolidated total revenues increased 16% to $1.81 billion. Consolidated adjusted gross profit increased 8% to $488 million, adjusted EBITDA increased 9% to $533 million and adjusted earnings per diluted share from continuing operations increased 10% to $4.69. These results on flat organic aggregate shipments underscore the success of our value over volume commercial strategy through which multiple pricing actions were successfully implemented this year. However, inflationary trends also impacted our operating costs and affected our adjusted consolidated gross margin, which declined 200 basis points to 26.9% for the quarter. Notably, this is both a moderated pace and sequentially higher as compared with the second quarter of 2022. As a result of the current demand environment and persistently high inflation, we've advised customers of fourth quarter price increase in a number of our markets as well as broad based January 1, 2023 increases. We believe these commercial initiatives together with other inflation containment actions, position Martin Marietta well to expand margins in the fourth quarter, and deliver another year of strong profitability in 2023. For our company, if past is prologue, and we believe that it is as inflation supports a constructive pricing environment for upstream materials the benefits of which endure long after inflationary pressures abate. Let's now turn to our third quarter operating performance starting with aggregates. We continue to experience healthy aggregate demand across the company with total aggregate shipments inclusive of acquisitions, increasing 5.6% to a quarterly record of 60.2 million tons. Organic aggregate shipments were largely flat, as otherwise strong demand was offset by supply chain disruptions, inclement weather in certain key markets, and most notably, logistics constraints and cement shortages, the latter curbing the immediate need for aggregates in the manufacture of ready-mixed concrete. Aggregates pricing fundamentals from a very attractive and organic aggregates pricing increased 11.9% or 11.3% on a mixed adjusted basis. The cumulative effect of multiple pricing actions continued to build in third quarter. These disciplined actions combined with overall customer confidence and demand visibility bode well for meaningful price acceleration in the fourth quarter, and in 2023. The Texas cement market continues to experience robust demand and tight supply resulting in effectively sold-out conditions. Against that backdrop, and combined with our cement team’s focused execution on commercial and operational excellence, we delivered record third quarter shipments of 1.1 million tons and pricing growth of 21.4% as our second $12 per ton increase this year, went into effect on July 1. We expect favorable Texas cement commercial dynamics will continue for the foreseeable future supportive of our recently announced $20 per ton price increase effective January 1, 2023. Shifting to our targeted downstream businesses, organic ready-mixed concrete shipments decreased 16.8%, largely due to a historically wet August in North Texas, as well as the completion of certain large projects in the quarter. Organic pricing increased to 20.3%, reflecting multiple price actions, including fuel surcharges necessary to pass through raw material and other inflationary cost pressures. Organic asphalt shipments increased 4.3%, driven primarily by strong demand in Colorado, while organic pricing improved 22% to help offset the increase in raw materials costs, principally liquid asphalt or bitumen, notably for comparative purposes prior year, asphalt volumes were constrained by bitumen shortage in Colorado, including contributions from our acquired operations in California and Arizona, asphalt shipments and pricing increased 31.3% and 26.1%, respectively. Before discussing our preliminary 2023 outlook, I'll turn the call over to Jim to conclude our third quarter discussion with review of our financial results. Jim?
Jim Nickolas: Thank you, Ward. And good morning to everyone. The building materials business posted an all-time record this quarter, with products and services revenues of $1.61 billion, a 15.9% increase over last year, and an adjusted product gross profit record of $467 million, an increase of 10.9%. Adjusted aggregates product gross profit improved 10.5% relative to the prior year's quarter to a record $330 million. Adjusted aggregate product gross margin declined 240 basis points to 32.5% as robust pricing growth had not yet offset the continued inflationary impacts of higher energy, internal freight, repairs and maintenance costs. Our Texas cement business delivered all time, quarterly records for top and bottom-line results. Revenues increased 23.4% to $163 million, while gross profit increased 35.7% to $68 million. Importantly, execution of a discipline commercial strategy drove a gross margin expansion of 380 basis points to 41.5%. That was despite notable energy costs headwinds, primarily related to natural gas and electricity. Domestic production capacity constraints and strong demand contributes to extremely tight supply in the North and Central Texas markets. As a reminder, we are taking two notables, near term steps to increase cement production capacity in Texas. First, we're in the midst of conversions at our Midlothian and Hunter plant to manufacture a less carbon intensive Portland limestone cement, also known as Type 1L. This eco-friendly product has been approved by the Texas Department of Transportation, and we believe our customers will view it as providing significant stakeholder benefits. Once we have completed our transition to Type 1L, our cement production capacity will increase by approximately 10%. Second, we are installing a new finish mill at our Midlothian plant, which is expected to be completed by the end of 2023. This new finish mill will provide 450,000 tons of much needed incremental production capacity to the Texas marketplace. Our third quarter ready-mixed concrete results exclude the Colorado and Central Texas operations that were divested on April 1, and include the acquired Arizona operations impacting the comparability with the prior year quarter. On an as reported basis, ready-mixed concrete product revenues declined 29.1% to $227 million, and gross profit declined 40.3% to $90 million, driven primarily by the divestiture which was partially offset by contributions from the acquired operations. Increased raw material costs further weighed on the gross margin for the quarter. Our asphalt and paving results include the operations acquired on the West Coast, impacting comparability with the prior year quarter. On an as reported basis, stable demand, improved pricing and acquisition contributions led to record revenues of $310 million, a 58.1% increase and record adjusted gross profit of $50 million, a 22.9% increase, however, continued liquid asphalt inflation contributed to the adjusted product gross margin decline of 470 basis points to 16.3%. Magnesia specialties generated product revenues of $69 million, a 4% decrease, driven largely by lower demand for domestic steel industry customers for dolomitic lime products. Product gross profit declined 22.9% to $22 million, as higher energy costs resulted in gross margin compression of 770 basis points to 31.3%. On a consolidated basis, other operating income net included $50 million in nonrecurring gains from the sale of surplus land and other assets. We saw sequential moderation in diesel costs in the third quarter. During the month of October, diesel prices have trended back up. While we anticipate additional volatility in diesel prices. We are forecasting that fourth quarter prices approximate current levels. As a result, with diesel costs no longer increasing sequentially, coupled with our discipline pricing initiatives, we expect to return to expanding gross margins in the fourth quarter as compared with the prior year period. We remain focused on a disciplined execution of our strategic plan to responsibly grow through acquisitions and reinvest in the business, while also returning capital to shareholders. During the quarter, we returned $141 million to shareholders through both dividend payments and share repurchases. We repurchased nearly 288,000 shares of common stock at an average price of approximately $347 per share in the third quarter. We also reduced gross leverage this past quarter. On September 29, the company utilized cash on the balance sheet to satisfy and discharge a $700 million tranche of senior notes due July 2023. Our net debt-to-EBITDA ratio continued to trend down and ended the quarter at 2.6x. We continue to anticipate a return to the top end of our target net leverage ratio of 2x to 2.5x by year end. Additionally, the company's board of directors approved an 8% increase in a quarterly cash dividend paid in September underscoring its confidence in our future performance and free cash flow generation. Our annualized cash dividend is now $2.64 per share. Since our repurchased authorization announcement in February 2015, we have returned $2.3 billion to shareholders through combination of meaningful and sustainable dividends, as well as share repurchases. As detailed in today's release, we have updated our full year 2022 guidance to reflect our year-to-date results as well as the impact of lower expected aggregate volumes and continued inflationary pressure. As a result, we now expect full year adjusted EBITDA to range from $1, 610 million to $1,675 million which excludes the nonrecurring gain on the divestiture in the second quarter. With that, I'll turn the call back to Ward.
Ward Nye: Thanks Jim. Looking ahead to the remainder of the year and into 2023, demand from expanded federal and state level infrastructure investment coupled with heavy industrial projects of scale, are expected to offset near-term affordability driven headwinds in the historically under build residential sector. Importantly, we have both the ability and capacity to supply these needed products and supported by our locally led pricing strategy will do so in a manner that emphasizes value over volume. As we enter the fourth quarter, aggregates customer backlogs are ahead of prior year levels, with supply chain challenges continuing to serve as the primary governor, the growth of product shipments. In the third quarter, infrastructure shipments accounted for 36% of total volumes, in the current period of broader economic uncertainty, one constant theme across our footprint is that infrastructure. Our single largest end used market is poised for accelerated growth as already healthy state Department of Transportation, or DOT budgets receive incremental funding from the Infrastructure Investment and Jobs Act or IIJA through the allocation for the 2023 fiscal year, most of which began on July 1. Notably, for the first eight months of the year, Federal aid highway construction obligations for the company's top 10 states are up 28% relative to the prior year period. As a result, we expect a step change in the public sector investment in 2023 to provide a stable base level of demand for years to come. Aggregate shipments for nonresidential end market accounted for 35% of total third quarter volumes. Nonresidential construction project backlogs remain strong in our markets led in large measure by heavy side energy, critical product manufacturing and data center projects of scale. The announcements of these projects are accelerating, driven by a post pandemic shift in global energy and manufacturing supply chains as well as data usage from adoption of digital and cloud-based services. Illustrative projects in our markets include Golden Pass LNG, and CPChem’s plastic facility along the Texas Gulf Coast. Samsung's semiconductor operation in Austin, the Taiwan Semiconductor campus near Phoenix, Stellantis, Samsung joint venture lithium-ion battery plant near Indianapolis, both VinFast electric vehicle and Wolfspeed plan chip manufacturing site near Raleigh, Durham, and metadata centers in Kansas City and Des Moines. While we continue to see recovery in pandemic impacted like commercial, retail and hospitality sectors, we expect this recovery will moderate as these categories generally follows single family residential development. Not surprisingly, the residential end market, which accounts for 23% of our total third quarter shipments began to slow down in the third quarter as organic shipments of the sector decreased 3% following the decline in single family housing starts, which was partially offset by continued strength in multifamily construction. That said, housing across our Sunbelt footprint remains under built amid significant population inflows with demand far exceeding supply. As shown in our supplemental slides, single family housing starts per capita in our key metro areas remains significantly and to varying degrees below peak 2005 levels. As such, we continue to expect the current affordability driven single family housing slowdown to be moderate in our key metropolitan areas, as home prices and borrowing rates find equilibrium. As we look to 2023, our preliminary view anticipates aggregate shipments to be effectively flat. As we expect increased infrastructure investment, coupled with robust activity from heavy nonresidential projects of scale will largely insulate product shipments from a slowdown in the single-family residential sector. We remain confident that favorable commercial dynamics underpinned by our value over volume pricing strategy will continue to be supported by attractive 2022 exit rates, as well as realization of our announced January 1, 2023 price increases. Together, we expect this will drive low double-digit growth in aggregates pricing in 2023. To conclude, we're proud of our record setting performance against a challenging backdrop. We expect our current momentum to accelerate in the fourth quarter, and in 2023, resulting in a return to margin expansion. We remain committed to employee health and safety, commercial and operational excellence, sustainable business practices, and the execution of our strategic plan. In doing so, we're confident in our ability to successfully navigate the current macro-economic challenges are demonstrating the resiliency of our proven aggregates led business model. If the operator will now provide the required instructions, we'll turn our attention to addressing your questions.
Operator: [Operator Instructions] Our first question comes from Stan Elliott with Stifel.
Stan Elliott: Hey, good morning, everyone. Thank you all for taking the question. Ward, you mentioned the infrastructure piece has been critical in the next year. Can you talk a little bit more about the state budgets? Kind of what you're seeing how it looks right now? And their ability to get projects and lettings out the door for you.
Ward Nye: Good morning, Stanley. Thank you for the question. I guess several things, one, not all states are going to be created equal. And part of what we've been focused on is building our business in the right states. So if we look at our top 10 states, overall, we're seeing basically budgets for next year that are up around 10%. And that can move around a lot. So for example, North Carolina, our home state here up 11%, Florida, up 27%, South Carolina important state for us up 28%. Part of what we're seeing too is not just increased funding, but in many respects, Stanley, the way that states are looking at funding. So for example, in North Carolina 2% of sales tax in FY23 will find their way to infrastructure, that's going to work its way up to 4% than 6% over a multi-year period. At the same time, even reflecting on Florida, Florida recently passed in their FY23 budget, basically a historic high. And they're looking at $4.4 billion for highway construction and another $1.2 billion just for resurfacing. And then if we're looking at Texas, which is our largest state by revenue, their 10-year unified transportation program is $85 billion worth of projects, to try to contextualize that that's a 13% increase from the ‘22 plan. So the nice thing is when you sit back and look at what we're going to have, from a baseline from IIJA, which is going to be the single largest pop we've seen since the Interstate Highway Act went into law in 1956. And then you feather on top of that very healthy state budgets. It's a pretty attractive backdrop. It's important to see to Stanley, I think, to your question, if we're looking at those same top 10 states in contract awards here today, they're up around 13%. But importantly, to us, we're looking at federal aid, highway construction obligations, year-to-date. Those are also up 28%. So as we think about what public is going to look like for us next year, on the federal side, plus to your question on the state piece of it. We think that's attractive, and it starts leading us back towards volume on public that looks more like history, in the low 40% of our volume, as opposed to what you heard me speak to just moments ago, which was in the high 30s. So, Stanley, I hope that helps.
Operator: Our next question comes from Kathryn Thompson with Thomson Research Group.
Kathryn Thompson: Hi, thank you for taking my question today. It was great color on the public end market. And you've also given some good color into early pricing actions between 3% return per ton increase for cement and low teens for aggregates. But when we look at the private side, what gives you confidence particularly focusing on customer backlogs about what to expect for 2023 and particular more color on backlogs that you're seeing right now. That gives a view for next year. Thank you.
Ward Nye: Kathryn, thank you for the question. Look, as we look at customer backlogs compared to where we were last year, this time. In aggregates they're actually nicely up about 7%. If we look in ready-mixed, they're also up. If we look in cement it's broadly flat. And we're expecting actually to pick up some nice work in Q4. And keep in mind and cement, we're dealing with the market in Texas that is uniquely largely sold out. So if we're looking at backlogs today for customers versus where we were a year ago, it's actually pretty attractive. I think the other piece of your question that's so important, Kathryn, as we think about ‘23, our view is clearly public is going to be healthier, as we think about ‘23, the heavy side of nonres, and we look at that through projects that are in the process of being led. We also look at projects and square footage that's out there in particular, we're seeing the heavy side of nonres manufacturing, energy, et cetera being very attractive the markets in which we're operating. Do we think we're likely to see some degree of moderation in the light nonres? Probably so. Do I think the US is going to see a degree of cooling in single family housing, we already have, I think that persists. But I think if we look at multi residential housing, that's going to be really resilient, we're probably going to see a nice pop, and that. So as we step back and look at backlogs, and think about end users, public appears to be quite healthy, nonres on the heavy side is quite healthy. Multifamily res is healthy, and we think single family residential, and the light side of non is where we're likely to see varying degrees of weakness. Now one of the things that we've been careful to do, and you see it in our supplemental slides, we've tried to spell out with specificity certain key MSAs, four of them in the West, four of them in the East, that we think are indicative of what's happened to population in our key MSAs. And what's happened to housing. I think an analysis of that will reveal to the extent that the US feels some degree of headwinds on housing, ours will not be as pronounced. So Kathryn, I've tried to deal with both the public and the private side to give you some good data points on why we have the degree of resilience we do around relatively flat volumes going into 2023.
Operator: Our next question comes from Trey Grooms with Stephens.
Trey Grooms: Hey, good morning, everyone. Ward, your summit pricing there in the quarter very impressive performance and looking into 2003. How much of today's pricing will be carried over from this year into next year. And then you mentioned having some widespread increases in January. And we've heard of some being announced for the Texas summit market in the in the January timeframe. But if you could comment on that, and maybe around the magnitude you're expecting there.
Ward Nye: Look, it's been, thank you for the Trey, for the question, Trey. It's been a good year for pricing. And for Texas summit this year. We anticipate that's going to recur next year. I mean, if we look at ASP for the quarter, it was up 21.4% on a reported basis, 20.6% on a mix adjusted basis. What that's done to your point in cement is basically led to a new all-time record for gross product. And you can see gross margins that are above 40%. If we think about the Texas cement market, here's some things to remember, I think this gives you a good build on why we have resilience, around a $20 per ton increase effective January 1. That's a market that's going to consume around 20 million ton of cement per annum. But it's a market that has a capacity to produce it in the state of Texas at about 16 million tons. In other words, that goes back to my commentary in the prepared remarks that the markets effectively sold out. So keep in mind we've got two plants, one in Midlothian, one at Hunter, so we're in Central and North Texas, frankly where water imports are not particularly meaningful to what we're doing. So I wouldn't say all of that underscores why we have resilience around the pricing. The other piece of it that I think is important, and I think it likely recurs is I'm not going to lead you to believe that we have enormous amounts of material going to basically oil well cement. But there is some going to West Texas, those are actually a much higher ASPs than you'd see ordinarily. And I think reflecting back on the geopolitical tensions that I mentioned in the prepared remarks. It's hard to imagine that that piece of our business is going to slow. The other things that I think are important to keep in mind, Trey. One, we're also seeing a conversion, as Jim said in his comments to the Type 1L cement. In that process, we'll actually get about 10% more capacity as we go into next year. And then it won't be immediate next year, but you will see more capacity come online as we finish mill that's underway at Midlothian right now. That's going to add another 450,000 tons to that marketplace that actually desperately needs it. So again, $20 a ton is what we're looking for. I think that answers your question specifically. But again, I wanted to give you some other data to give you a sense of why we have a high degree of confidence in that number.
Operator: Our next question comes from Jerry Revich with Goldman Sachs.
Jerry Revich: Yes, hi. Good morning, everyone. Ward, I'm wondering if you could talk about, Ward, if we were to assume a mild recession next year and volumes are down year-over-year versus the base case of flat, it feels like with the pricing gains over the course of this year, you folks would still be positioned to expand aggregates margins by a couple of hundred basis points, given the puts and takes in that scenario. I'm wondering if you might be willing to comment on that just conceptually, given the timing of permanent price increase over the course of this year versus the quicker diesel and other inflation that we saw in the beginning of the year and as a result, the catch-up we're going to see in '23?
Ward Nye: Sure, Jerry. Thank you for the question. So a couple of things. Your question, which I think is a really good one, really focuses on margin and what we think happens with volumes. So several things that I would point out. One, if you look at what we're saying for the balance of the year, we're actually anticipating margin expansion returning in Q4. So what that means is multiple price increases in a big heavy industry are actually finally catching up and passing what have been the cost inputs. We also expect that to recur going into next year. Now to your point, what happens if you see volume more bearish than we anticipate volume being next year. What I would do is I'd take you back, and it's been a while, Jerry, this might have before you were actually following us, but if we go back to 2005, 2006 and '07, what you'll actually see if you look at history, is the industry generally, Martin Marietta specifically, was finding peak volumes back in 2005, but we're actually seeing peak profitability in that last cycle in 2006, which underscores in many respects why we speak to this volume -- this value over volume strategy because we recognize how valuable that is to our business. The other thing that I'll outline, Jerry, because you've seen it, and I think it's probably echoed in some of your writings as well. The pricing in aggregates tends to be a very durable set of pricing. So as we go through cycles inevitably in the fullness of time, and I'm not sure if next year is going to be a down cycle or not, we don't think it will be right now because of the strength in public. We have a lot of confidence around the resiliency of the aggregate pricing. So as we think about what is likely to happen in margins in Q4, we think they expand. If we look at what we think is likely to happen to margins in '23. Again, we think they likely expand. So hopefully, that answers your question and maybe 10% more, Jerry.
Operator: Our next question comes from Phil Ng with Jefferies.
Phil Ng: Hey, guys. Appreciate the forward color for 2023. So maybe a question for Jim. Your flat volume guidance, appreciating a lot of uncertainty on housing and maybe on the light side for commercial. Can you kind of help us unpack the percentage growth you're assuming for housing, nonres and infrastructure? And on the infrastructure side, we could appreciate the lightings and bidding activity has really dialed up. But more help us understand kind of like the cadence of when that big inflection kind of comes through next year? Thanks a lot.
Ward Nye: Look, I think you're going to start through the inflection as we get closer toward half year next year, in particular. Keep in mind, it's always interesting to me, people want to look at Q1 and try to divine some degree of rhythm or cadence out of Q1. And remember, in our world, Q1 is January, February and March. And what I've long said is oftentimes Q1 is made or broken by the last two weeks in March, which is no way to really judge the rest of the year. I think going back to the percentages that I spoke to a little while ago and infrastructure gives you a good sense of what that rhythm and cadence can look like through the balance of the year, I think part of what we're going to be seeing, and I think this is important, Phil, is in infrastructure, we're going to be seeing more capacity type projects led than we've seen in the more recent past. That's important because you're going to send out a much wider array of volumes and more volumes over a period of years. So I would reflect on that. The other thing that I would say in particular, and a lot of this is driven by energy and manufacturing. If we look on the nonres side, what we're seeing, and I mentioned it before, the square footage on a number of these plants, not just in Texas but beyond that, even on some of the new opportunities that we're seeing in the Carolinas and in the central part of the United States, have considerable square footage. These tend to be almost concrete warehousing. And then the other thing that we are seeing is we are seeing estimated start dates now on all of the large LNG or energy plants that we've been looking at in South Texas, all with 2023 start dates and we think that's important as well because when we look at those projects all by themselves and again, I'm talking about six different projects in South Texas, the cumulative yardage and tons from those are 13.7 million tons and about 1.3 million cubic yards. So again, we feel like on those, it won't just be an aggregate or a concrete play for us and varying degrees, it can be a cement play as well. So I would certainly start looking to begin in Q2 to see those volumes ramp up. I think it will particularly be in public. I think you're going to see the heavy side of nonres on manufacturing and in energy actually do quite well. I do think areas like hospitality and others are likely going to slow. It will be curious to see how single-family housing goes in our markets. As I said, I don't think those are going to go off a cliff. I don't think there's room for them to go off a cliff because we're looking at seasonally adjusted starts right now below $900,000. And using a million is a good, steady start. And keep in mind, many of these markets, we are still -- it's not an affordability issue. It's an availability issue. So I think in many respects, it will be curious to see what homebuilders are willing to do relative to their margins. But from a timing perspective, Phil, that's the way I would think about it, and that's how I would handicap it via end users.
Phil Ng: And Ward, the heavy side pushing a lot of momentum there. Is that enough to like more than offset the light side, at least when you think about 2023?
Ward Nye: I think the scope of some of those heavy projects are so large. I think the short answer is yes, it really can, particularly some of these large energy projects. So I think that's where you end up potentially with that nonres wash. I think that's probably a good word to use.
Operator: Our next question comes from Timna Tanners with Wolfe Research.
Timna Tanners: Yes, thanks. I wanted to squeeze in two really, hopefully, quick ones. One is you talk about the constraints from cement availability. And I was just wondering how we should think about that improving given some of the expansions you've talked about from existing capacity, yours and others. And then same idea, a smaller market, but on the Magnesia Specialty side, your guidance assumes a rebound. So is it just a short-term blip you see in the demand side? Or is this something that could perpetuate into next year? Thanks.
Ward Nye: Sure. Timna, thanks for the question. So a couple of things on Mag. I think we anticipate really more of the same from Mag in Q4. I think we actually expect a better year for Mag next year. A couple of things are driving that right now. Steel is run at about 77% of capacity, which is lower than it's been for a while. The chemical side of that business is actually performing quite well. That business has a number of commercial contracts that are rolling off at the end of this year. So as we think about the rhythm and cadence of what that's going to look like from a pricing perspective, next year is actually going to be much more attractive for that business. So that's how I think of that. If I think about the ready-mixed market, in particular, back to your comment relative to cement shortages, part of what that has done is just put ready-mixed players in a position that as they get towards the end of a week, if they don't have significant powder in some markets, they're not buying stone either. Look, I think the fact is cement in some markets could stay tight for a while. And I think that could have from a bit of a logistics perspective, a little bit of a headwind. That's certainly what we've seen this year. it's not a massive headwind to be fair, Timna. I think part of what's happening this year is cement tightness has been an issue. Trucking has been an issue. Rail has been an issue. And I think some of the transportation and logistics issues while still confronting the industry broadly, are getting modestly better. So as we think about those issues going into next year, I would actually anticipate more logistics tailwinds next year than we've seen this year, and then we'll have to see how cement plays out. And keep in mind, Timna, in our world, the only place we have cement, and again, it's very much by design, is the strategic cement position that we have in Texas, where we're the largest producer of aggregates cement and ready-mixed concrete. So I hope that addresses the Mag issue and your thoughts around powder for next year.
Operator: Our next question comes from Keith Hughes with Truist.
Keith Hughes: Thank you. Looking at the fourth quarter in aggregate volumes, the yearly number seems to indicate it's going to be negative. Is that correct? And other than weather is there anything going on within the quarter in aggregates?
Ward Nye: Yes. Keith, thank you for the question. The primary thing that we're looking at as we look at Q4 is severalfold. One, what's the year-to-date look like, two last year, it's worth remembering that we actually had a winner that didn't roll in until very late in the year. So we had a Q4 that was unusually long. So what we're doing in large measure is assuming that a normal winter shows up. And if a normal winter shows up and then we go back and augment it to varying degree some of those items that we were just talking about with Timna, saying what happens with normal winter. What happens if logistics constraints concur or recur and what happens if cement continues to be tight. We're just looking at those things and trying to sort out what we think that could mean for the fourth quarter. And really, your swing factor as much as I hate to say it, is going to end up being winter. There are a number of markets that can be really weather affected that are actually quite good markets today. Among them, for example, Indianapolis is a very attractive market. Minneapolis St. Paul, we're seeing asphalt volumes in that market where we're an FOB provider higher than they were last year. And by the way, we thought last year was a pretty good year. So if we end up with colder weather in some of these markets that are relatively high performing, it does have no pun intended, but chilling effect on what the volumes can look like for the rest of the year, Keith. So that's how we're racking it up.
Operator: Our next question comes from Michael Dudas with Vertical Research Partners.
Michael Dudas: Good morning, gentlemen. Ward, maybe you could remind us sort of what in your guidance for 2022, what was maybe the overall headwind towards the higher energy and materials cost or constraints, labor, however you want to place it? And as you're looking into 2023, certainly, it's certainly it can stay, the inflation stays at a high level, but what kind of moderation may we see and what are the parts that we could look for to help some of the tailwinds if we get this pricing agreement [Inaudible]
Ward Nye: Sure. Let me bifurcate that a little bit. Let me tell you what we saw. Jim will come back and give you a sense of what we're expecting. And so I'll try to break it down just a bit. So again, if we look at diesel cost per gallon and if we're looking at the aggregates business and the single largest energy input, that's what it is. So diesel cost per gallon was up 69%. And what that means is it was up from $2.44 a gallon in Q3 of 2021 to $4.12 a gallon in Q3 of '22. Now in fairness, that did show and Jim commented to this in his prepared remarks, that did show some sequential moderation from what had been $4.60 a gallon in Q2. But so those are pretty big numbers. And there are big numbers in particular when you keep in mind that for a full year, we're anticipating having about 53.5 million gallons of diesel fuel that we will use. Similarly, if we look at electricity and natural gas, and of course, these will be involved in the aggregates business. But in fairness, there are going to be bigger issues in cement and in Mag Specialties. So again, if we're looking at those, the electricity costs were up 46%, Nat gas was up 106% as we look at Q3. So those are pretty significant headwinds that we have during the quarter that I think we actually very successfully navigated. Now speaking a little bit at least on what we look for the rest of the year and into next year. Jim, I'll turn that over to you, if I May?
Jim Nickolas: Sure. So the energy cost for the full year headwind, we're expecting in 2022 is about $190 million or so, give or take, that's a full year view. At this point, we're not assuming those get better or worse next year. They stay elevated, but they don't improve, they don't get worse. So that's a big probably the most volatile of our cost components. Labor stays relatively well behaved. That's our biggest, single biggest cost component at about 20-ish percent. That's going to be maybe a little bit above average, but not too bad. What is growing of late, and I expect to continue into next year, supplies, repairs expense and contract services, those will grow a little bit faster as they have this quarter into next year. But I think all that said, our ASP growth should surpass that cost inflation in 2023.
Michael Dudas: Those are some stunning numbers, Ward. Well done.
Operator: Our next question comes from David MacGregor with Longbow Research.
David MacGregor: Yes, good morning, everyone. Congratulations on all the progress, Ward. I wanted to -- I just want to ask you about Texas cement. And you'd highlighted in response to -- your answer to an earlier question, just everything that's happened this year is kind of out of the ordinary, there's unplanned maintenance outages and we're down to low water on the river, import constraints, solar capacity everywhere. It's been a very, very tight year and an extraordinary pricing environment. But you're kicking off with a 20% increase for 2023 in response to a different question, you indicated you expected the inflection in infrastructure to be midyear, which suggests, I guess, absent something changing on the capacity side that there's another price increase coming mid-year. It just seems like a phenomenal setup in cement. So I'm just wondering, what are the risks, what -- is it resi? And could resi potentially be enough of an issue to be disruptive to all the growth in public and private nonres? Or just interested in how you're thinking about the downside to cement right now.
Ward Nye: No, look, I appreciate the question very much, David. I think cement as a general rule and cement in Texas as a specific rule are probably two different things. And I think part of what gives us such confidence in the Texas market overall is that it’s historically been the market place in which we've seen all the way through cycles, the single highest infrastructure percentage of our business. So when you're in Texas, you're riding on concrete roads and you're going across concrete bridges. And I think that's a really important component to remember when you think about what's happening in that marketplace. The other thing that we've spoken of, David, is really what the requirements are in that state, what the in-state production is in that state and where our plants are located. So if housing slowed to a degree, would that open up some powder, the answer is it probably would. Does that mean that people aren't going to be faced with tightness towards the end of the week and might be able to take more aggregates I think it probably does. So I do think Texas is a very different and it's an overused word, David, but I do think cement in Texas is relatively unique. The other thing that I'll point out that I think has been a big help for us as we've looked at our business over time is the fact is as we look at our reliability and as we look overall at the utilization, of our plants in Texas. They continue on a year-over-year basis to get better. So we're finding ourselves in a position in a market that's very tight that making the shift to Type 1L is going to add capacity, adding the new finish mill at Midlothian is going to add capacity. And the fact is, we're a better cement company now than we were last year, and we're going to be better next year than we are this year. So I think there are a number of components to it. But I do think the commercial aspects of it will continue to be very attractive and right now we've got a lot of resilience around what we're anticipating for 2023 in cement.
Operator: Our next question comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Hi, great. Thanks. Hey, Ward, if you guys get back within your target leverage range by year-end. Maybe if you could speak to your business development pipeline, overall appetite for M&A next year, a lot of internal focus here on margins in 2022 and obviously going into '23, a lot of the economic certainty out there. So I just wanted to get a sense of how you're thinking about kind of the business development side.
Ward Nye: Brent, thank you for the question. I think that's such an important one as we go through cycles because our capital priorities are changing. And part of what I find really compelling about Martin Marietta is the ability of this company after having done the most significant cash outlays in its history in M&A last year to be de-levered exactly the way that we anticipated we would be by the end of this year. Now if we think about M&A more broadly, here's what I'll say. A lot of potential deals have come through our funnel in the last 18 months. And what we're trying to be is what you would expect. And that is very disciplined in what we're looking at. We're looking at a number of different potential transactions today. They tend to be almost exclusively. It's not tended to be, they're almost exclusively aggregates-based deals. And those are the types of transactions that we're most interested in. You hear the way that we speak of our business, aggregates-led, strategic cement, targeted downstream. So to the extent that we can continue to grow our aggregates-led business, that's what we're going to want to do. part of what's different now, though, as we think about it, Brent, is our footprint is different. So we have the ability to look in markets that we could not have looked in before to do bolt-on. And the reason that I called that out is bolt-on, if you think about them from a risk allocation perspective are actually very low because you've got operating people in that market, you've got commercial people in that market. Integration can broadly occur over the course of a weekend, and the execution risk is really quite low. So do we continue to look at M&A? The answer is yes. Do I hope that we'll have some things to talk to you about late this year or early next year? I hope so. There are certainly no guarantees on that, but the aim is that we will continue to do that, and you should look for it to continue to be aggregates led. So I hope that's responsive.
Operator: Our next question comes from Garik Shmois with Loop Capital.
Garik Shmois: Hi, thanks for taking my question. Wanted to follow up on the nonresidential side. If you have an estimate of how much of your nonres shipments is going towards that heavy side of nonres, is expected to hold off as opposed to the light nonres? And just to be clear, on the nonres, are you seeing any current delays or cancellations? Or is your outlook there just more indicative of how this end market tends to follow the healthy cycle of the lag?
Ward Nye: Yes. Good to hear your voice, and thanks for the question. I'm going to take part two and ask Jim to come back and deal with part one. So part two, we're not seeing significant cancellations on nonres projects. And frankly, that's not a big surprise to me. The only time in my career that I can remember that we saw that happen in notable ways was coming out of basically that 2005, 2006 where building was so robust and the fall was so precipitous that we saw nonres projects actually stopping or being canceled. As a general rule, they don't they tend to go through. So the short answer is we're not seeing that. The other part of your question is really the breakdown of what's heavy and non et cetera. So I'll turn that over to Jim.
Jim Nickolas: Yes. So Garik, the heavy portion of nonres is 55%, the light portion is 45%.
Operator: Our next question comes from Michael Feniger with Bank of America.
Michael Feniger: Yes, thanks for squeezing me in. On the public side, you mentioned an inflection in the second half of next year. So is it fair to say that the growth rate in 2024 for public is likely to be higher than the growth rate in 2023? And just a follow-up on that. The industry has observed past cycles where you can get three consecutive years of double-digit pricing. You're doing it in 2022. Next year will be number two. So just -- if public is accelerating in 2024, the heavy side of nonres is okay, do we have underpinnings to get that third year for 2024? Thank you.
Ward Nye: Those are great questions, Michael. So thank you for that. Do I think we're likely to see that type of a build on the public side? The short answer is, yes, I think we probably are. Do I think we're in a position and again, look, this is really ranked speculation so I don't want to get out there too far. I think we've got a good sense of what pricing will be in 2023. And of course, we tried to capture that in what we put out in our preliminary guidance. If we're right, and I believe that we are, that we obviously have a multi-year highway bill. If we're right, that the U.S. is far from overbuilt, if we're right that anything relative to housing will not be deep, it will not be long, and if we're right that the U.S. is going to have to look at higher degrees in particular manufacturing going forward, I think you could take a number of economic indicators in that vein and say that volumes should be relatively attractive on a broader base for an extended period of time. What we've seen relative to pricing, particularly in aggregates is aggregate pricing tends to be attractive even in a challenged volume environment. If we end up finding ourselves in a multiyear circumstance, that you could have flat next year up year after or however you want to fashion it, I do think that you could continue to see a very constructive pricing environment. Now obviously, that's not guidance. That's looking out farther than we would typically look at. Obviously, what we've given you so far is a preliminary view of 2023. But if I'm just taking what has been more years around this industry than on occasion, I'd like to admit, I think what I've just outlined for you would be consistent with broader history.
Operator: Our next question comes from Adam Thalhimer with Thompson Davis.
Adam Thalhimer: Hey, guys. Nice quarter. Just a quick word on the residential side. Are you actually seeing weakness today? And I was just wondering if that has anything to do with the volumes down a little bit in Q4?
Ward Nye: I'm sorry, are we -- what today -- Adam, what is that?
Adam Thalhimer: Oh, actually seeing weakness in residential today? Or is that still something you just expect to see?
Ward Nye: You know what? In some markets, I wouldn't call it a weakness, I would see the slowdown. And I know that's parsing things a little bit. But overall, the reason that I don't say weakness is they're still in our markets such an acute need. And I think that's the fundamental difference that we're seeing today. So are we seeing a slowdown in large measure because of logistics constraints and otherwise? Yes. Are most of our markets, in my view, more affected today by lack of availability as opposed to affordability? I think that is the bigger issue, Adam. I'm not going to totally dismiss affordability in some circumstances. I mean, let's face it, as a practical matter, we've got a lot more people in the United States and we have interest rates trending up to things that would have looked relatively normal a decade plus ago. So we're going to have to see where that goes. But the short answer is yes, we are seeing some degree of a slowdown. Nothing that we think is dramatic. In fact, we think it's actually quite expected and what we're seeing more broadly. But I do think this is going to be a circumstance where very specific geographies will respond very differently, in particular on single-family housing.
Operator: Our next question comes from Anthony Pettinari with Citi.
Anthony Pettinari: Good morning. It looks like CapEx guidance for the year was trimmed a little bit, maybe under $50 million at the midpoint, if I got that right. Can you just talk about what's driving that? And then any kind of implications for CapEx in '23 or maybe early thoughts on '23 CapEx, given you may be kind of flattish on volumes next year?
Jim Nickolas: Yes. It's Jim. Happy to take that question. The reduction in CapEx this year was simply just taking longer to get the money deployed than we had expected earlier in the year. There are no other reasons in the past, frankly. So it's just a reflection of what we think we can get done this year. As for next year, I typically guide focused about 9% of revenues. I think that holds true for next year. So sort of steady as she goes for us, and I would expect the same thing next year at about 9% of sales. Does that answer your question?
Anthony Pettinari: Yes. No, that's very helpful. I'll turn it over.
Operator: Our next question comes from Dillon Cumming with Morgan Stanley.
Dillon Cumming: Hey, guys. Thanks for squeezing me in. I just wanted to bring the discussion back to the supply chain logistics for a second. Ward, you were pretty clear that I think elements of like trucking and rail have been kind of constraining aggregates volumes this year. I think you alluded to the fact that those should be kind of improving modestly next year. If we think about the volume assumption that you have for the heavy side of nonres and public and infrastructure. So the '23 outlook of flattish volumes, are you still embedding that those kind of pockets of the end market spectrum are still constrained by those issues? Maybe the trucking and rail or how should we kind of frame up potential upside to that [Inaudible] conservative? And maybe if you start to see more pronounced like relief in those areas as the year progresses?
Ward Nye: Dillon, thank you for the question. The short answer is yes, we are assuming for purposes of next year that they continue to be constrained. We're assuming that degrees of constraints have been relieved but not at all wholly relieved. And keep in mind, we're going to benefit and we're going to have a burden depending on how things work, particularly relative to rail. As rail gets better, we're the largest shipper of stone by rail in the United States. So we will be a disproportionate beneficiary as that circumstance is inevitably righted. At the same time, when it's struggling, we're going to feel it a bit more acutely, and that's where we've been over the last several quarters. So do we think it's going to be completely remedied next year? No. Do we think it's likely to be better? Yes. Do we see it getting better in the second half of this year than it was earlier? Yes. So that gives us a certain degree of resilience around our view on that next year. But that's how we're at least still and we're trying to frame that more broadly.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Ward Nye for any further remarks.
Ward Nye: Again, thank you all for joining today's earnings conference call. We continue to strive for safety, commercial and operational excellence, and remain focused on executing our strategic plan. Martin Marietta's track record of success throughout various business cycles and our ability to adapt to the various challenges inherent in the current macroeconomic environment proves the resiliency and durability of our aggregates-led business model. We're confident in Martin Marietta's prospects to continue driving attractive growth and enhance shareholder value now and into the future. We look forward to sharing our fourth quarter and full year 2022 results with you in February. As always, we're available for any follow-up questions. Thank you again for your time and your continued support of Martin Marietta. Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.